Operator: Greetings, and welcome to the Balchem Corp First Quarter 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Bill Backus, CFO for Balchem Corporation. Thank you, you may begin.
William A. Backus: Ladies and gentlemen thank you for joining our conference call this morning to discuss the results of Balchem Corporation for the quarter ending March 31, 2016. My name is Bill Backus, Chief Financial Officer and hosting this call with me is Ted Harris, our President and CEO. Following the advice of our counsel, auditors and the SEC, at this time I would like to read our forward-looking statement. This release does contain or likely will contain forward-looking statements, which reflect Balchem's expectation or belief concerning future events that involve risks and uncertainties. We can give no assurance that the expectations reflected in forward-looking statements will prove correct and various factors could cause results to differ materially from our expectations, including risks and factors identified in Balchem's Form 10-K. Forward-looking statements are qualified in their entirety by this cautionary statement. The financial information that is referenced in this meeting was disclosed this morning in our quarterly press release. Before I hand the call over to Ted to go through our consolidated results I would like to remind everyone that giving this quarters acquisition of Albion International there are significant non-cash acquisition accounting items as well as cash transaction cost impacting our results this quarter. For this reason, we will focus our discussion primarily on adjusted results which facilitate comparability to prior year and sequential quarterly performance. Additionally we have renamed our SensoryEffects segment, Human Nutrition & Health, as this segment now includes encapsulates, choline, mineral amino acid chelates, specialized mineral salts, mineral complexes, and customized food and beverage solutions. The three mineral product lines are contributions from the recent Albion acquisition. We believe that this segment name change provides more clarity as to the segments core businesses and strategies. We will continue to use the brand SensoryEffects for certain customer market activities. I will now turn the call over to Ted Harris, our President and CEO.
Theodore L. Harris: Thanks, Bill. Good morning ladies and gentlemen, and welcome to our conference call. This morning we reported first quarter consolidated net sales of $135.1 million, which resulted in first quarter net income of $11.9 million or $0.37 per share on a GAAP basis. This result include significant non-cash amortization expenses of $7.4 million for acquisition related intangible assets and inventory fair valuation adjustment of $2.4 million related to the Albion acquisition, and net cost of $0.5 million for transaction and integration cost in a favorable legal settlement. All of which we recorded in this first quarter GAAP financial statements. The amortization expense and inventory fair valuation adjustment are a direct result of acquisition valuation and business combination accounting rules. While the transaction and integration costs are related to the Albion acquisition. Consequently, our non-GAAP net earnings of $18.4 million or $0.58 reported in our press release earlier this morning excludes these items to facilitate comparative evaluation of this current period operating performance versus the prior year period. These non-GAAP net earnings for the first quarter 2016 compared to $19.6 million or $0.62 per share in the comparable prior year quarter. Adjusted EBITDA of $35.5 million was $600,000 below the $36.1 million posted in the prior year quarter and was up $1.8 million sequentially. Our adjusted EBITDA margin was strong at 26.2% compared to 24.9% and 25.4% respectively from the first quarter 2015 and sequentially from the fourth quarter 2015. We delivered record first quarter cash generated from operations of $29.3 million. Our first quarter sales of $135.1 million were 6.7% lower than the $144.9 million result of the prior year comparable quarter, with the most significant driver of this decline being a $13.6 million reduction in sales in industrial products. Related to the significant downturn in oil and natural gas fracking partially offset by the additional $10.6 million of added sales from the Albion International acquisition. Human Nutrition & Health, achieved record first quarter earnings of $8.4 million or net sales of $71.6 million up $3.8 million from the prior year quarter. The human nutrition portion of Albion that was consolidated into Balchem's Human Nutrition & Health segment contributed $7.1 million of sales to the quarter, which were modestly better than expectations. Partially offsetting these added sales were lower sales in Powder Systems, due to the mild winter weather and its impact on hot specialty beverage systems as well as year-over-year and sequential weakness of several key customers and their end user sales. The Animal Nutrition & Health segment sales of $39.2 million decreased 8.1% or $3.5 million on a 7.1% increase in volume, compared to the prior year comparable quarter. Reduced sales were primarily due to lower average selling prices for products in monogastric markets as well as a unfavorable product mix particularly for ruminant products. The lower monogastric average selling prices were primarily a function of reduced formula pricing resulting from lower raw material cost along with the impact of foreign currency. Volumes into the monogastric market were quite string as where volumes for ReaShure or rumen-protected choline. While sales volumes of other nutritional products are still being challenged by lower milk and milk protein prices as well as the strength of the dollar. Earnings for Animal Nutrition & Health were down $2 million to $6.5 million. In the first quarter, specialty products achieved earnings of $5.3 million on record first quarter sales was $17.1 million. The legacy sterilization and pasteurization business performed well, delivering record first quarter earnings while the $3.5 million of added sales from the plan nutrition portion of Albion that was consolidated into Balchem's specialty product segment were somewhat below expectations. Industrial product sales decrease $13.6 million or 65% from the prior year comparable quarter, primarily due to significantly reduced volumes sold of choline and choline derivatives for oil and natural gas fracking in North America. Additionally, average selling prices were lower as a result of pressures related to the industry activity downturn. Rig count has further declined and is now down approximately 80% from the peak our volumes have followed the similar trend. Earnings for industrial products were down $2.9 million to $0.2 million. Our consolidated gross margin percentage was 31.7% of sales in the quarter, up 190 basis points from a 29.8% of sales level in Q1 of 2015. Adjusted gross margin percentage, adjusted primarily for the previously mentioned $2.4 million inventory fair valuation impact was 33.8% of sales, up 390 basis points from a 29.9% of sales level in the prior year comparative period. The improvement was primarily due to a favorable product mix and lower raw material cost, which were partially offset by the impact of previously noted lower volumes. Gross margin percentage for the Human Nutrition & Health segment increase by 250 basis points primarily due to improved product mix and lower raw material cost. Gross margin percentage decreased for the animal nutrition and health segment by 170 basis points primarily due to an unfavorable product mix partially offset by cost decreases of certain key raw material. Gross margin percentage for the specialty product segment decreased by 340 basis points due to an Albion acquisition related inventory fair valuation adjustment of $0.9 million. Industrial products gross margin declined by 800 basis points reflecting the reduced volumes in lower average selling prices. Consolidated operating expenses for the three-months ended March 31, 2016 were $22.9 million or 16.9% of net sales as compared to $18.1 million or 12.5% of net sales for the three-months ended March 31, 2015. The increase was principally due to the inclusion of Albion operating expenses, transaction and integration cost and amortization expense related to the aforementioned acquisition. Excluding net cost of $0.5 million for transaction integration and a favorable legal settlement and with non-cash operating expense associate with amortization of intangible assets of $6.8 million operating expense were $15.6 million or 11.6% of sales. Looking forward, we will continue to focus on tightly controlling our operating expenses and leveraging our existing SG&A infrastructure. U.S. GAAP earnings from operations were $20.0 million a decrease of $5.1 million or 20.2% compared with the prior year comparable quarter. On an adjusted basis as detailed in our earnings release this morning, earnings from operations of $30.1 million decreased $1.6 million or 5% from the prior year comparable quarter. Interest expense for the three-months ended March 31, 2016 was $1.8 million all of which related to the debt financing of the SensoryEffects and Albion acquisitions. Our net debt at March 31 was $313 million. The Company's effective tax rates for the three-months ended March 31 2016 and 2015 were 33.9% and 34.3% respectively. As previously noted, consolidated net income closed the quarter at $11.9 million down from $15.2 million in the prior year quarter. This quarterly net income translated into diluted net earnings per share of $0.37 as compared to the $0.48 we posted in the comparable quarter of 2015. On an adjusted basis as detailed in our earnings release, our adjusted net earnings for the quarter were $18.4 million or $0.58 per diluted share compared with $19.6 million or $0.62 per diluted share in the prior year quarter. As outlined in our earnings release, our first quarter results generated $35.5 million of adjusted EBITDA in the quarter compared with $36.1 million in the prior year quarter and $33.7 million in the fourth quarter of 2015. Adjusted EBITDA as percentage sales for the quarter was 26.2% of sales 130 basis points increase over the prior year quarter and equals $1.11 per diluted share. As previously noted, our cash flow remains strong, as we generated record first quarter cash from operations of $29 million and close out the quarter with approximately $39 million of cash and this reflects scheduled principal payments on long term debt of $8.8 million dividends paid of $10.7 million and $10.7 million of capital expenditure funding in the quarter. Working capital management is always a non-going initiative and Albion presents new opportunities as they have historically had relatively high net working capital as a percentage of sales. In particular, as it related to carrying high inventories. We are working hard to understand the business value of this higher level of investment in working capital, but believe at this point the Balchem supply chain processes and working capital discipline will provide opportunity for working capital improvements overtime. Before I hand the call back over to Bill to go through the segments detailed results, I would like provide a brief update on our Albion International acquisition as well as our other key strategic initiatives. The integration of Albion is progressing very well, organizational integration is complete, expected cost synergies are being realized for our plan and operating result in aggregate have been consistent with our expectations. At the same, the customer end market response has been very positive and we are working hard to deliver expected sales synergies as a result of the expanded array of solutions that we now have. As expected, Albion is enhancing the value of our business model through both top-line sales and expanded margins. I’m also pleased with the recently announced strategic partnership with BASF to leverage the combine technical and commercial capabilities of both companies to bring next generation feed efficiency and health products to swine industry as a start. Our focus will be on providing products and solutions to meet the accelerating trend toward antibiotic free feeding systems. The BASF and Balchem team together will be a leader in helping our customers meet the changing needs of the market. On our other key growth initiatives, we are pleased with the initial production validation trials that have taking place for several products using our state-of-the-art continuous agglomeration unit. We expect full production campaigns to begin here in Q2 and have already secured contractual volume for this unit. The market response to our new technology offering has been quite positive, we have experienced good interest from the single serve hot beverage area as well as from customers interested in instatizing single component ingredients. There are no new significant developments to report regarding CureMark, although the process of performing the third Phase III clinical for their drug to be utilize in a treatment of autism is progressing with the ongoing fulfillment of populating the clinical study sites with patients. As previously discussed, in anticipation of their new drug application being approved by the U.S. food and drug administration, we are in the latter stages of validating air quality systems, supply chain and manufacturing capabilities to ensure preparedness for the production of final validation batches by mid-year and the initial launch demand upon FDA approval. Relative to the recommended daily intake for choline, we were disappointed that the FDA missed the previously noted date of March for issuing the final rule on the RDI for choline. That said, they are making progress and we are pleased to have recently learned that the FDA has prepared the final rule and it has been sent for review to the office of management and budget, which is evidently the last step before publication. Activity in the market place is encouraging and the RDI and recent EFSA recommendation should spur further interest in choline enrichment for both supplements and food fortification. I’m now going to have Bill Backus discuss the segments in more detail.
William A. Backus: Thanks Ted. As previously noted for the quarter, sales of our consolidated Human Nutrition & Health segment were $71.6 million, an increase of $3.8 million or 5.6% from the comparable prior year quarter with Albion contributing $7.1 million. Powder System sales were lower impacted negatively by the mild winter weather and its impact on hot specialty beverage systems as well as year-over-year and sequential weakness at key customers in their end user sales. Sales of inclusions and encapsulated products increased 5.7% over the comparable prior year quarter even with the negative impact of the strong dollar affecting international markets. Record first quarter earnings from operations for this segment were $8.4 million versus $7.7 million in the prior year comparable quarter, an increase of $0.7 million or 8.6%. Excluding the effect of non-cash expense associated with amortization of acquired intangible assets of $5.8 million and in inventory fair valuation adjustment of $1.5 million relating to acquisition accounting adjusted earnings from operations for this segment were $15.7 million compared to $13.3 million in the prior year quarter, an increase of $2.4 million or 17.7%. Earnings from operations from this segment increased due to an improved product mix including from the Albion acquisition and lower raw material cost. We are pleased with the first quarter Human Nutrition & Health results, especially when considering previously mentioned top-line challenges resulting from the mild winter weather and its impact on hot specialty beverage systems and certain customers softness in their market space. This segment has continued to see margin expansion as we realize improved efficiencies, manage supply chain cost and improve the value proposition of our product portfolio. Albion has contributed to this margin expansion and adjusted gross margin adjusted for the previously noted inventory fair valuation adjustment of $1.5 million increased to 32.9% of sales in the first quarter 2016 an improvement of 450 basis points from the 28.4% of sales in the comparable prior year quarter. The opportunities presented by our pipeline and the aforementioned agglomeration CureMark RDI and first ever intake recommendations along with the Albion acquisition will help fuel future growth for this segment. As noted, the Animal Nutrition & Health segment sales of $39.2 million decreased 8.1% or $3.5 million compared to the prior-year comparable quarter. Global monogastric species sales including feed grade choline products decreased $1.9 million or 6.5%, primarily due to lower monogastric average selling prices resulting principally from reduced formula pricing based on lower raw material costs along with the impact of foreign currency. Lower feed prices and favorable economic conditions provide incentive for broiler integrators to expand production and the USDA has maintained its higher 2016 broiler production forecast as eggs set and chicks placed for grow out have increased from 2015 levels. Monogastric volumes did increase 8.5% from the prior year comparable quarter. Sales of product lines targeted for rumen animal feed markets decreased by $1.6 million or 11.4% on flat volumes compared to the prior year quarter. Decline from the prior-year comparable quarter was most notably from decreased sales of AminoShure and NitroShure primarily due to the noted challenging global dairy market dynamics and the strength of the dollar, which subsequently impacts our export volumes. While low milk prices have persisted for some time, milk protein prices recently fell to historic lows further challenging the inclusion of nutritional ingredients and feed rations. These dynamics have been particularly challenging for us when coupled with the strength of the U.S. dollar. While these global market dynamics have been increasingly impactful, we were pleased that we were able to deliver strong growth of our flagship ReaShure product line through these tough conditions. Our recent expansion of our Verona, Missouri facility brought online additional feeding encapsulation capacity for ReaShure. This new 40% expansion is running extremely well and has positioned us strongly to satisfy the increased demand for ReaShure created by the Balchem team successfully driving increased penetration for the foreseeable future. We also believe that milk and milk protein prices will show signs of improvement in the second half of the year. We remain confident long term as we delivered value with our innovative and efficacious product portfolio further penetrate the market and gain market share. We also remain positive of our capabilities to introduce new and novel products to satisfy attractive end markets demands though both organic development and strategic alliances such as the previously noted partnership with BASF. ANH quarterly earnings from operations were $6.5 million, a decrease of $2 million or 23.2% from the prior year comparative quarter and an increase of $0.3 million or 4.6% sequentially from the fourth quarter 2015. The decrease compared to the prior year quarter was a result of the noted lower sales and unfavorable product mix, partially offset by cost decreases of certain key raw materials. As previously noted, both human and animal in capsulated products have been impacted by foreign currency. We are working to address this impact of the strength of the dollar as we are scoping out adding in capsulation capabilities to our existing footprint in Europe for both human and animal products. This will provide us with both logistic and foreign currency flexibility in the European markets as well as additional global capacity. The specialty product segment posted record first quarter sales of $17.1 million for the three months ended at March 31, 2016 as compared with $13.6 million for the three month ended March 31, 2015 an increase of 26.1% Albion being the significant contributor to the sales increase. Excluding the contribution from Albion, the legacy sterilization an pasteurization business also achieved record first quarter sales. Specialty Product quarterly earnings from operations was $5.3 million versus $5.7 million in the prior year comparable quarter. A decrease of $0.4 million or $7.2 with the legacy sterilization and pasteurization business achieving record first quarter earnings. Excluding the effect non-cash expense associated with amortization of quarter intangible assets of $0.6 million and inventory valuation adjustments of $0.9 million relating to acquisition accounting, adjusted earnings from operations for this segment were $6.8 million compared to $5.8 million in the prior year quarter, an increase of $1 million or 16.4%. This increase is due to the addition of the Albion plant nutrition business and cost decreases a certain key petrochemical raw materials. In the industrial products segment sales declined 65% from the prior year comparable quarter as volumes sold to various choline and choline derivatives for industrial applications notably for shale fracking decreases due to the well publicized significant downturn in the fracking market. Additionally average selling prices were lower as a result of pressures related to this industry activity down turn and operated desire to curb hydrocarbon production costs. There is significant uncertainty in the oil and gas industry and our expectations are that the headwinds are likely to continue through most if not all of 2016. We continue to leverage the competitiveness and efficacy of our products along with our distribution and lead time efficiencies, capitalizing on opportunities to gain additional market share, while also aggressively managing supply chain cost. However, as indicated, we remain cautious about this industry. Our earnings from operations for the industrial products segment were $0.2 million or reduction of $2.9 million compared with the prior year comparable quarter and primarily a reflection of the reduced volume and lower average selling prices. I'm now going to turn the call back over to Ted for some closing remarks.
Theodore L. Harris: Thanks, Bill. We are very pleased with the long-term strategic contribution of Albion International to our company as well as its immediate financial contribution to our first quarter earnings. We continue to face top-line challenges especially from the oil and gas markets in our industrial product segment and the low milk and milk protein prices, which are currently impacting Animal Nutrition & Health segment. Our sales have certainly been impacted by these macroeconomic headwinds, the combined strength at our core portfolio businesses was evidenced by these first quarter earnings results. Record earnings in both the legacy Human Nutrition & Health segment and in specialty product segment, coupled with strong volume growth in Animal Nutrition & Health and the contribution of Albion International for two-months of the quarter helped to substantially offset the headwinds. At the same time, cash flow generation range strong as we delivered record first quarter cash flow from operations of $29 million. Looking ahead, we expect the oil and gas related headwinds to continue through 2016, although it's reducing year-over-year comparability impact as the year progresses since we first experienced significant declines in this market in Q2 of 2015. Low milk and milk protein prices were likely persist for several more months. However, we believe that strong mid to long-term fundamentals in this market will show signs of improving prices in the second half of the year. We will continue the strength in our Company by focusing on our strategic growth initiatives while at the same time driving supply chain efficiencies and exercising disciplined cost management. Our significant capital investment such as the ReaShure expansion and the state-of-the-art continuous agglomeration unit will increasingly share benefits in the form of new business, cost reduction and unencumbered growth as the year progresses. Our investments in new product application and market development, such as with a recently launched AminoShure-M, rumen-protected methionine our clean label systems solutions, our uniquely positioned VitaCholine Human grade choline and our proprietary pharma grade encapsulation technologies are poised to contribute more significantly going forward. The long waited and pending RDI for choline will help fuel interest in cholines and its inclusion in supplement and food fortification applications. Now all the process continues toward FDA approval of CureMark’s autism drug albeit at a slower pace than we would like. Our investment in the technology that excluded in this drugs delivery system will undoubtedly pay off nicely once approved. And our investments in acquisitions and partnerships such as Albion and the recently announced the lines with BASF will fuel additional growth and opportunity. These investments in manufacturing capabilities, new product application and market development as well as value adding acquisitions and partnerships will allow us to continue to strengthen our company and will position us well for the future. I would now like to hand the call back over to Bill to open the call up for questions.
William A. Backus: Thanks Ted. This now concludes the formal portion of the conference. At this point, we will open the conference call for questions.
Operator: Thank you, ladies and gentlemen, we will now be conducting question-and-answer session [Operator Instruction] Our First question comes from the line of Francesco Pellegrino from Sidoti & Company. Please go ahead.
Francesco Pellegrino: Good morning guys.
Theodore L. Harris: Good morning Francesco.
William A. Backus: Good morning.
Francesco Pellegrino: I was going through the press release and one of the thing that had actually caught me a little bit off guard and I wasn’t really aware of it, and I know Ted you had actually given a little bit of detail about the products. Was Albion sales into the specialty product segment, could you go over those items again?
Theodore L. Harris: Yes sure, Francesco. Albion really had two primary businesses, one was a human nutrition business and one was plant nutrition business, and we have decided to consolidate the human nutrition part of Albion into our newly named Human Nutrition & Health segment and the plant nutrition business into our a specialty product segment. Multiple reasons for that, one is we really didn’t want to have a plant nutrition business within our primarily human focused nutrition and health segment, and we do see some synergies with our plant nutrition business our other businesses within specialty products particularly around the pasteurization, fumigation for seeds and nuts. So that was the logic around that split.
Francesco Pellegrino: But Ted, if I am correct, I thought a majority of the specialty segment was ETO and PTO gas?
Theodore L. Harris: It is, but we use TO gas to fumigate pasteurize seeds and nuts, so we have relatively good involvement inside into for example the almond growing industry and on the almond board and so far scenario is some overlap there from a plant nutrition perspective. And some of the partners that we have in that marketplace, we feel will be helpful in accelerating the growth of the plant nutrition business.
Francesco Pellegrino: When I think about what you guys are doing with the business and moving away from I guess some of the end market customers that have significant commodity exposure. I always thought of Albion as enhancing the human nutrition part of the business. Now that I’m finding out that Albion has this exposure to plant nutrition that you are now incorporating into specialty products. Are you willing to do additional acquisition that enhance the Albion exposure to the plant nutrition that you just explained?
Theodore L. Harris: No, I think that’s maybe jumping the gun a little bit. Albion had not been a company that was highly focused on acquisitions, but having said that, we very much like the plant nutrition business, it is the very high margin part of Albion and has delivered good growth historically and the brand name under which we sell our Albion plant nutrition products is extremely well known. And I would venture to say is the premium brand and chelated minerals in the marketplace. So we have a very strong business in the plant nutrition business and at this point in time, I don’t see why we would not continue to invest in it, and if there were acquisitions to further accelerate growth and strengthen their market position there, I think we would consider it. I don’t want to over a state it, it’s still a quite a small part of Balchem, it's only about a $20 million business and so it's not a very big part of Balchem at this point in time. But it is a high margin part and we are interested in further growing it.
Francesco Pellegrino: Okay, I’ll probably touch bases with bill after the call to just understand a little bit more about maybe the level of commodity exposure for these customers, because you did mentioned some almonds. But one other thing that I did want to hit on was you said that the Albion business and the specialty segment fell below managements internal expectations for the quarter. Could you give us a little bit of color on that.
Theodore L. Harris: Yes and I also said in aggregate the Albion met our expectations, so was essentially right on plan as we expected which was very encouraging and the human nutrition business was slightly ahead of those expectations and the plant nutrition business was slightly below. And certainly weather plays a major role in the plant nutrition business and some of the wet kind of late winter or early spring that we've had in California has impacted some of the use of their products as well as some of the range down in central and South America in banana plantations and so forth. So weather has not been a beneficial, but I would emphasize it was just slightly below expectations. We wanted to give a little bit of color more than just that Albion met our expectations, but we are not concerned about this, this is very normal and early Q2 has come back nicely in the plant nutrition business. So hopefully that answers your question.
Francesco Pellegrino: Yes, it does. Just turning to the industrial products side to be honest with you guys it's really hard to get blindsided by this. Because you guys did a great job on the call of letting us to know how they sort of model it out and when you look at the correlation against rig count, it's never really that big of a surprise and my one question for you that is about the industrial product segment is. Does the new and unprofitable business in this segment over the short-term make sense to you guys?
William A. Backus: Does new and unprofitable business...
Francesco Pellegrino: Right I guess sort of weathering the storm over the short-term waiting for the fracking industry to turnaround then when it does turnaround, you were sitting on all of these customers that you are serving with the certain amount of volume and then the uptick it's starts becoming a profitable more profitable in the future?
Theodore L. Harris: Yes. And I think that we have a very good position in this marketplace and I think we again have to remind ourselves that the products that we sell into the oil and gas market are the exact same products that we sell into our other market. So we really view this as a market that is somewhat plant sale or covering fix cost. And as long as where we continue to cover fixed cost in this market we will continue to sell those products and we do believe that the oil and gas market will come back and we are uniquely position with their two manufacturing sites in this country to service that market. And so yes I think your point of sort of holding on in a very smart way, obviously not selling below cost, maintain our market share, maintaining our relationships with customers so that when it does turnaround we will be ready. I would say in large part, our customers are probably more optimistic and may be they - they are relatively more optimistic about the turnaround of this market, as we've said we don’t expect it to turnaround in 2016, but some of our customers see that happening sooner than we probably do.
Francesco Pellegrino: Okay. You touched on the RDI for choline by the FDA and how it's sort of been on waiting game and how it's seeing as if something could be coming within the next couple of weeks. I know those are almost the same comments that you used on the at year-end conference call. But I guess since the year-end conference call, has there been any new product positioning or conversations in maybe partnering choline with a multi-vitamin company ahead of the ruling by the FDA. Have you guys done anything new from the end of the fourth quarter conference call?
William A. Backus: No, I think the short answer to that is absolutely, but nothing yet across the goal line that we are ready to talk about. But there certainly is a lot of anticipating in the marketplace around this ruling, there is a lot of interest in choline both in the supplement multi vitamin areas as well as food fortification. Certainly since the last quarterly call, we have made good progress at certain customers and in advancing these efforts. But again, nothing to report at this point in time, but I feel very good about the market interest in choline, there certainly have been more in news reports and more articles written about choline in the last three or four-months. And again, we view that all very positively and progress in getting choline and to new application that we are working hard on is also progressive.
Francesco Pellegrino: Okay, I'll go back into queue, but I have got a couple of more questions after the next caller.
William A. Backus: Okay.
Theodore L. Harris: Great. Thank you Francesco.
Operator: Thank you our next question comes from the line of Robert Maltbie from Singular Research. Please go ahead.
Unidentified Analyst: Thank you this is [Debra] (Ph) in for Robert and I appreciate you taking our questions. Could I just ask for just a note of clarification you mentioned that Albion is now going to be included in the Human nutrition and then the specialty group and the Human nutrition, I caught that it’s a $7.1 million contribution in the quarter. could you repeat the contribution for the specialty segment?
Theodore L. Harris: Sure Debra, it’s a $3.5 million, so in the plant nutrition business that goes into specialty product its $3.5 million the human nutrition that goes into human nutrition health is $7.1 million totaling $10.6.
Unidentified Analyst: Okay wonderful and that’s for the two-months since the closing of the transaction?
Theodore L. Harris: Exactly, yes.
Unidentified Analyst: Alright, very good. And then turning then to the animal health group, I was trying to get grasp of where the profit margins ended up for that particular segment and if you could just maybe return to that discussion and tell us what the gross profit margins were and the dynamic that was going on in the animal segment?
Theodore L. Harris: Sure, Bill maybe you want to take a look at gross profit margins, but overall our gross profit margins in the ANH business in Q1 were about 27.3% which was up from 24.1% in Q4, so we thought that improvement was quite healthy, but down from 29% prior year. And that's really driven by the two points that we highlighted in the call. One is around the lower raw material cost driving our monogastric prices down. And what we are seeing there is that the raw material costs are declining at a slower phase today than they were in Q1 last year. So we are getting more lag benefit if you will in Q1 of last year than we are now getting in Q1 of this year. And then secondly, as we've talked about our ruminant business and we are very pleased with our ReaShure, really our flagship product continues to grow very nicely in these difficult market conditions. But sales of some of amino acid products are down and those products are higher priced, lower margin percent, but higher priced and higher margin for pound. And that’s also having a negative impact on our overall margins for ANH. But again, we are pleased with the 320 basis points improvement over sequential quarter, but obviously disappointed with the 170 basis points reduction over prior year.
Unidentified Analyst: Good and how healthy the dairy herd management, and of course the milk costs have or milk selling prices I should say have come down. How do you view and is the total population of the dairy herds is that impacting your sales?
Theodore L. Harris: No it's really not. Milk production continues to be up little bit in the U.S. over prior year, it’s up significantly and Europe that’s part of the overall problem with milk prices. And at the end of the year of the day our ReaShure product helps dairies produce more milk and in this environment they are still interested in doing that. But the amino acid are typically added to enhance milk protein production and milk protein prices are very low and so we do find an historically and today that some dairies are choosing to take out relatively high priced amino acid nutrient in the feed. So to avoid that additional cost, because we are just not getting the return on sales. So that’s really what's impacting us today and again as I said we are pleased with the ReaShure growth, the really nice thing about our growth in ReaShure is we are really creating demand with that product line. We again are only partially penetrated in the U.S., we feel like we are in about 25% of the herds in the country or the cows in the country and we are moving forward and driving that towards 50% and 75%. So we believe that we can continue to grow our ReaShure flagship product even during these difficult times. But the amino acid it's going to be more difficult and we are seeing that impact.
Unidentified Analyst: Okay very good. And then the last question, this too is still about the animal health and nutrition and Albion. Are there any technologies or capacities that Albion has brought to the mix that you think could be applied in the animal segment as well as in the human segment?
Theodore L. Harris: Absolutely. We have talked about that briefly in the past and it probably a little bit more mid to longer term for us. Albion was not in the animal nutrition space, but they use to be many years ago and they have the manufacturing facility that is largely dedicated to animal nutrition that they did not sell along with that business. So we now have increased manufacturing capacity for animal nutrition and that’s one area that we actually were limited and so we are quite excited about our ability to increase our production capability for animal nutrition and we are taking advantage that as we speak. But also, since Albion sold their animal nutrition business many years ago, technology has advanced and we do believe that we can leverage some of the advancement and technology that they have on the human side to improve our already existing animal chelated mineral business. So we are kind of busily working on with the technology groups and the marketing groups on how to do that, but immediately we are benefiting from extra capacity and we are pleased with that.
Unidentified Analyst: All right, excellent. Thank you.
Theodore L. Harris: Thanks.
Operator: Thank you. Our next question comes from the line of Timothy Ramney from Pivotal Research Group. Please go ahead.
Timothy Ramney: Hi thank you. Good morning. Just to better understand the plant nutrition business of Albion. First of all, is that a seasonal business, I would guess that the sales to end users are quite seasonal, but it didn’t look like there was a lot of seasonality if it's $20 million business, you had roughly $3 million on sales in two months?
Theodore L. Harris: Right, Tim thanks for the question. There is some seasonality in that business. One thing that helps us manage that is our business is quite international. We saw a fair amount in the Northern Hemisphere and in the Southern Hemisphere and that helps mitigate some of the seasonality, but the second half of the year tends to be softer than the first half of the year. And we will be talking about that more going forward, but when you blend it into the overall company, it's not a significant impact to seasonality of our company. But the plant nutrition business is certainly stronger in the first half of the year than the second half.
Timothy Ramney: Was there any evidence when you got inside the business of any kind of channel load before the sale or were customer inventories relatively in line?
Theodore L. Harris: Customer inventories were relatively in line and so we have seen no evidence of that at all. You are always concerned about that when you acquire company, we were extremely pleased to see on the human side the very strong first couple of months. The plant nutrition business did have price increase on February 2, that was completely market related that probably drove a little bit of advanced sales in January, but we do not believe and have not seen any significant impact from kind of stuffing with channel prior to the transition.
Timothy Ramney: And sorry to focus on such a small part of the business, but I'm interested - I use chelated mineral from my Vineyard and I think it's reasonably well adopted in pretty high value crops. But I would love to hear your commentary on kind of what the penetration is and what the awareness is with various end markets?
Theodore L. Harris: I didn’t know you have a Vineyard, might we have to have a meeting on your Vineyard at some day, but you are absolutely right our products particularly are premium chelated minerals and are used typically in premium crops and grapes are our number one application and I think that and our strongest position is certainly in California. So I think the penetration is relatively high in those premium crops but we do feel and this is really coming from Albion and so it's not necessarily new thinking that Balchem is bringing. But there is more applicability and some of the moderately premium crops and we are in the midst of really developing new products and introducing those products to sort of mid-tier crops to expand the overall market for Balchem. Interestingly also Albion historically while we do have sale internationally was much stronger on the West Coast being based in Salt Lake City and the team just has more focus on the West Coast then the East Coast. And we also see some geographic expansion opportunity even within the U.S. to further penetrate the market, but I think in the premium crops on the West Coast were pretty highly penetrated.
Timothy Ramney: Good okay and then just the second on the animal nutrition segment, you've now had four quarters of negative year-over-year sales. So as you mentioned the curve is flattening out on the decline in raw materials and in the pass through pricing on that. Would you have any commentary on how we should think about the remainder of the year for animal nutrition in terms of sales growth rates or should it be just sort of bumping along the bottom here in the $40 million range?
Theodore L. Harris: I think my commentary would be that in the second quarter and third quarter we should have better year-over-year comparability. We had a very strong first quarter last year, so my expectation is that we will start to show growth as the year progresses. Again, very pleased with the strong volume growth that we delivered despite the sales reduction and I think that will ultimately start to drive the sales growth as the year progresses. So I would love to see certainly some increases in Q3 and Q4.
Timothy Ramney: And just one quick one for Bill. It looks like net debt is up just a little shade over $50 million. Do you have a full-year kind of outlook for interest expense, on the updated debt structure?
William A. Backus: Yes, so I think our intention at this point Tim, we are going to continue to look to allocate capital not towards prepaying any debt. So I would expect that we are going to just continue pay the $38.8 of million payments that we pay quarterly right now and our interest rate is less than 2%. So you could apply that, assume that the net debts going to come down by at least $8 million, $9 million a quarter and we will be paying less than 2% and less interest rates significant rise that would be our expectation as far as interest expense going forward.
Timothy Ramney: Perfect. Thanks.
Theodore L. Harris: Thanks.
Operator: Thank you. Our next question comes from the line of Tony Pollock from Aegis Capital. Please go ahead.
Anthony Pollock: Good morning.
Theodore L. Harris: Good morning.
Anthony Pollock: Could you give us an idea why stock compensation expense went up $1 million?
William A. Backus: I think that part of it Tony is obviously as the company has gotten larger there are. There is some other people involve in getting stock compensation. I think that’s part of it and there was some overlap with Ted coming in also. So I think that’s a part of it also in terms of what Ted came on through CEO. So I think that’s a big part of it also. So we have some overlap there specially when you look at some again at the acquisition and how it cycles through in terms of amortization and expense overtime and you get some incremental pieces and so you get to that cycle.
Anthony Pollock: So a resourced model that has to be $2.2 million a quarter going forward?
William A. Backus: No I think let me take a look at it here for you Tony, but I think that’s probably a little high compared to what we would have expect it to be. I think we are expecting to be somewhere around $7 million for the year I believe.
Anthony Pollock: On CureMark, you are sort of employing it’s a matter of when not if, just wanted to know why? If I’m correct in that statement and why you are so confident of it?
Theodore L. Harris: Tony, I certainly believe that its matter of when not if, the clinical trials up to now have been quite successful, this third Phase III trial to me is more about understanding whether this drug should be prescribed to all autistic children or simply those is with the biomarker. So I do have high degree of confidence that it’s a matter of when rather than if. I did spend some time with Jone Fallen and some of our team last week and we spent some time talking about this and more time talking about future developments, but I certainly see no signs of getting in the way at this point and in approval of the NDA.
Anthony Pollock: Could you give a more feedback on timing?
Theodore L. Harris: That’s one that we are all over and we spend a lot of time talking about that. It’s a very difficult one and she is very hesitant to talk about timing. I was pleased to hear that the population of this trial is increasing and those already a part of this last trial are being treated with the drug. So I think that’s a positive development from prior quarter, but other than that I can't really speak to timing, because I really don’t know.
Anthony Pollock: Is it still net expense to the company?
Theodore L. Harris: Yes, its net expense, but it's extremely minor. We do continue to manufacture small quantities of the product for trials as well as continuing use by the older children who were treated in the earlier trials. So that’s a net expense, we are spending little bit money upgrading the manufacturing facility and so forth, but I would describe it as extremely minor at this point.
Anthony Pollock: Could you give us an idea of how quickly you can ramp up in terms of volume?
Theodore L. Harris: That’s really what we are working on and we've tried to articulate that we have set in internal target for Balchem to be ready to produce what we believe kind of the first year expectations would be by mid-year. So we are working hard to get a supply chain ready, we think that’s a bit on the early side but we want to benefit ready. We certainly don’t want to slow things down if and when approval is ultimately given. So this first manufacturing facility will have ample capability to produce what's needed and our estimate for the first year or so and duplicating that will be not significant event. So we are concerned about being constrained by our capacity.
Anthony Pollock: Okay, I may have couple more questions but I'll let someone else ask. Thanks.
Theodore L. Harris: Thank you.
Operator: Thank you. Our next question is a follow-up from the line of Francesco Pellegrino from Sidoti & Company. Please go ahead.
Francesco Pellegrino: All right. I’m back again, but I want to put on the CureMark, Ted I guess base upon the conversations that you had with the individual over at CureMark. Help me to understand, the first Phase III trial target, what subset of the overall autism, spectrum the specific biomarker that was being targeted?
William A. Backus: Yes so the first Phase III Francesco, was about them having this enzyme deficiency, and now this latest clinical study is about seeing that even if they don’t have the biomarker for the enzyme deficiency, will the drugs still be effective for them also. And again, this is both related to the FDA being able to say yae or nae to parents of autistic children as well as the issue of insurance coverage. So I think that’s really what this one about at this point.
Francesco Pellegrino: The second Phase III trial is for the entire spectrum, first Phase III trial like what percentage of these patients represent the entire population, biomarker that they have?
Theodore L. Harris: Right, about roughly 60% to 70% autistic children have the biomarker and in CureMark’s initial trials their population came out at 62% so kind of right in that range.
Francesco Pellegrino: Okay. Question for Bill, Bill what was the depreciation load for Albion during the quarter?
William A. Backus: About 200,000.
Francesco Pellegrino: Okay, so it's nothing really that big.
William A. Backus: No, it's fairly insignificant to depreciation, most of it's the incremental is the amortization.
Francesco Pellegrino: Okay I got you. And human grade choline on a quarterly basis, even on an annual basis not sure if it’s even seasonal. How revenue does it do?
William A. Backus: Somewhere about $20 million to $25 million annually.
Francesco Pellegrino: Okay $20 million, $25 million. And last question is, so you adjusted the Albion acquisition and seen some acquisition to nice space. What are you guys seeing for multiple and conversations for businesses that would align well with Balchem?
Theodore L. Harris: We still continue to see pretty high multiples, maybe inching down ever so slightly, but we are seeing multiples that are kind of in the 10 type range, if not a little bit a higher.
Francesco Pellegrino: Perfect. That’s it for me. Thanks again guys.
Theodore L. Harris: Thank you Francesco.
William A. Backus: You are welcome.
Operator: Thank you. Our next question comes from the line of Lenny Dunn from Freedom Investors Corp. Please go ahead.
Lenny Dunn: Good morning. Really there is two comments, one is that you are doing the great job of integrating obvious diverse businesses. And the other is that you seem like right at this point, you would have your hands full other than small bolt-on you would be better off working with organic growth and digesting everything you have, because there is only so many directions you can look at the same time. So if you want to comment on that I would appreciate it?
Theodore L. Harris: Yes, thanks Lenny and we do feel good about the integration of both SensoryEffects and Albion. And our number one priority is organic growth and so maybe that’s completely agreeing with you. But we do continue to spend time on other acquisitions, we don’t see ourselves as a kind of prolific acquisitor there and company solely focused on acquiring other companies, we see first and foremost, we are focused on organic growth, but the Albion integration was obviously not as significant as SensoryEffects, we viewed it more as a bolt-on acquisition. And so after SensoryEffects we probably took a year or so to fully digest that and fully focus on that. This is different we feel like it's largely been integrated and the teams, the business teams and the supply chain teams are harnessing and going after those synergies and we can do other acquisitions as soon as good ones come available we are ready to go. So we are focused primarily on our organic growth, but we continue to look at acquisitions as well, we are definitely not on the side lines from an acquisition perspective.
Lenny Dunn: Okay. Thank you very much.
William A. Backus: You are welcome.
Operator: Thank you. Ladies and gentlemen, we have no further questions in queue at this time. I would like to turn the floor back over to management for closing comments.
Theodore L. Harris: Great, I would just like to quickly thank everybody for joining the call today and your ongoing interest in our company. I would like to take a minute to remind you that we will be holding our Annual Shareholders Meeting on June 15 at 11:00 AM at the Park Ridge Marriott in Park Ridge, New Jersey. So look forward to seeing some of you there and sharing more with you at that time about our company. So thanks again for joining the call today.
Operator: Thank you, ladies and gentlemen. This does conclude our teleconference for today. You may now disconnect your lines at this time. Thank you for your participation and have a wonderful day.